Operator: Thank you for joining us on the call today. Before we begin, I'd like to announce that we will be referring to today's earnings release, which was sent to the newswires earlier this afternoon.
 I'd also like to remind everyone that this conference call could contain forward-looking statements about Destiny Media Technologies within the meaning of the Private Securities Litigation Reform Act of 1995. Such forward-looking statements are based upon current beliefs and expectations of management and are subject to risks and uncertainties, which could cause actual results to differ materially from those forward-looking statements. Such risks are discussed in the company's filings with the SEC and SEDAR, and the company does not assume any obligation to update information contained in this call.
 During this conference call, we will discuss certain non-GAAP financial measures. The non-GAAP financial measures are presented in the supplemental disclosures and should not be considered in isolation of, or as a substitute of, or superior to the financial information prepared in accordance with GAAP and should be read in conjunction with the company's financial statements filed with the SEC and SEDAR. The non-GAAP financial measures used in the company's presentation may differ from similarly titled measures presented by other companies. A conciliation -- a reconciliation of the non-GAAP financial measures to the most comparable GAAP financial measures can be found in the earnings press release.
 With that, I would like to turn the call over to your host, Mr. Fred Vandenberg, Chief Executive Officer. Please go ahead, sir. 
Frederick Vandenberg: Thanks, Obi. Thanks, everyone, for joining the call today. It'll just be me today. And please bear with me, I've got a little bit of a cold, so if I start to lose my voice, you'll know why.
 Q1 is always a little bit of a quick turnaround from year-end. It's a slow time of year and with the late filing of a -- later filing of a year-end, there's not a huge space of time there. But I think there's some pretty exciting things that have occurred, so it's worthy of a greater discussion here.
 I'll start in with the financial results. To summarize, from a high level, revenue, again, is up for the 12th straight quarter. We've made a reasonably large jump in expenses with the thought of investing in greater product development and business development, but we've remained cash flow positive.
 So overall revenue grew by 6.3% or 8.5% adjusted for foreign exchange. Our FX-adjusted revenue grew in all of our territories, with the largest single group impacting the growth is independents worldwide, which grew by 11%. Again, that growth is seen in all territories. Just a reminder, when I refer to independents, that's a fairly large group of customers that are anything but a major label. So the major labels are Sony; Warner; and UMG, Universal Music. And independents are anything from small independent label or artist to labels that are almost causing majors which have an international presence and are customers of ours.
 That revenue growth is largely observed in existing markets. So we do have some new use in -- genres in the States. But the growth is just organic in our existing territories. And as I've stated in previous calls, we continue to make increased investments in product development and business development. And in the quarter, our spending increased by 22%.
 The Q1 reflects this increase in staffing for business development from added staff that we did throughout 2019. That increase in staff is designed to take play -- the Play MPE system and introduce it to new people in new markets. We are very confident that with it, we can add additional markets with a good product and a good approach to business development. I'll talk more about our product development in a little bit.
 From a SaaS terminology perspective, our customer acquisition costs are a little higher. We're trying to displace a competitor in a -- an entrenched competitor in a new market. But I think with the right approach, you will start to see results of our successes in the very short term. Over the last couple of years, we've been able to grow Play MPE revenue really prior to significant additions to the -- what we think of is Play MPE. And even prior to results of added biz dev staff or where we're trying to displace an entrenched competitor, it takes a little bit of time. The sales are a little bit longer. But once we get a foothold, the -- adding new customer cost -- the cost of adding new customers is reasonably small.
 You'll see that our independent label revenue in the U.S. has grown in virtually every quarter since 2008, so over the last roughly 11, 12 years, there's only a few quarters where we've had a little contraction. So in Q1, we hired a new Director of Engineering. He started in September. And the general theme here is that we're increasing costs, but we're also making adjustments to staffing to produce more, to have greater efficiencies, and you'll see greater product enhancements shortly.
 Sorry, I'm losing my voice a little bit here. We just had 2 product-related releases, and I think you'll see a greater cadence in those press releases. This is really exciting for our staff as you'll see that we are adding functionality or things that are really in demand by our customers that are very interesting to our customers. And it's these product enhancements that I think will be a catalyst to displacing entrenched competitors. 
 I was in Toronto last month, and I spoke with the prospective clients myself. And you can see our -- their reactions to our Play MPE system, our Play MPE hub, and it's really encouraging. I can tell you that I've heard them say, and this is a quote, "You should be really proud of this." And "Oh, my god, I love this. And I can already see it's way faster." Faster in this sense was in comparison to a competitor. So we're better, and we can say it confidently. And I think we're really proud of what we're building here. So it's just a matter of following through with our biz dev efforts and attracting new customers, acquiring new markets.
 Our Director of Product Management has been with us since June, so just a little over half a year. And I'm very excited that with the new Director of Engineering and a new product manager -- Director of Product Management, sorry, that we'll really start to produce a really slick hub for our business development group to expand.
 Sorry, getting back to the expenses. The 22% increase is primarily investments in advancing the product and in advancing the business development group. But there's also some onetime costs that -- so the increase in cost is not quite 22%. Overall, net income is still at a 10% margin. But again, we are investing for growth. Our costs are longer term in view.
 So getting back to Play MPE and our vision, our product vision. We really want to create a hub of activity for music promotion. And that's something we want to expand where Play MPE is and what the Play MPE is. So right now we're -- our biz dev group is really focusing on adding territories, and our product group is developing items that will help that process along but also coordinating a longer-term vision of adding services of -- on both sides of the transaction. So we have recipients and senders of content, and we're going to be adding services to that. We're going to be adding capabilities for customers to self-serve and things that we can add greater value to both recipients and senders and target for some of that.
 We are able to make these investments from our improving financial situation, and we can -- we'll continue to do that. You'll have seen, hopefully anyway, 2 press releases for the product. The first one was our language translations. Now this is the sending side of the software that -- so the recipient side is -- has been in 20-plus languages for quite a number of years. I think now was the time to start building out the additional languages for the encoder, so we can really truly be a -- it'll facilitate or grease the wheel in terms of our worldwide revenue growth or our territory acquisition. So we've added several languages to that -- to the encoder side, the distribution side of our software. That will -- that's also a component that's necessary for more self-serve customers that we will hope to market to later this year.
 We also distribute -- announced that we released a new player. It's a bigger deal than it probably appears on the face of it. This is an upgrade. It's been -- that includes some features that have been asked for quite some time. The -- probably the biggest single component in that release is the authentication feature, where now a recipient can click on an e-mail and will get logged into the system through that authentication. They don't have to enter a password or user name and password, which is something that is almost a little bit passé these days. But there's no lack of security, you're still authenticated. But now it's just a little bit easier for recipients to interact in the software. And that seems to be, potentially surprisingly, a major consideration for our recipients. They don't like to enter in a user name and password, and that's always a bit of a struggle with our customers. They want security, but they also want the ability to make it really easy for recipients to receive their content. So that's a fairly major step forward for us. And I think it will be -- it will put us ahead of other competitors as well.
 So to really summarize. We've been working really diligently to find the right staff, so we can deliver more product updates, be more -- be a bit more competitive, have a more biz dev staff to connect to the right customers and expand that outreach, and I think you'll see the results of that in fairly short order.
 Last thing I'll say is the buyback is the -- we've purchased almost -- well, a little bit more than 4.5% of the shares outstanding at the end of the year, the fiscal year. The -- there are some -- you'll see some timing differences on what we reported in the press release and the amounts on the financial statements because the amount that it's reported in the press release is up to January 8, and the financial statements are, of course, November 30, so there's some added purchases back then. Our average price is around USD 0.96, which I think is a very good deal. And I think once we start to show real progress in our revenue with acquisitions of new territories, you'll start to see a bit of a -- by buying these shares back, you'll -- we're kind of increasing the tension on the elastic, and I think you'll -- I hope you'll see some results in the stock price as well. 
 With that, I'll turn it over to questions. And again, I apologize, I know I'm losing my voice. I'm stumbling over a little bit. But I'll field some questions, and hopefully, clarify anything that needs to be. 
Operator: [Operator Instructions] And your first question will be from [ Andrew Taylor ], private investor. 
Unknown Attendee: Fred, I'll try to keep it short for you given your voice. 
Frederick Vandenberg: Sorry about that. 
Unknown Attendee: That's okay. So if I'm looking at the basic and diluted shares outstanding, so -- and understanding the timing issue that you mentioned, basically that amount instead of being 10.9 million is probably more like 10.5 million? 
Frederick Vandenberg: That's right. That's right. 
Unknown Attendee: Okay, okay. That's good. Okay. And one of your... 
Frederick Vandenberg: So that's an average of the shares outstanding [ you know, too ], right? 
Unknown Attendee: Right. 
Frederick Vandenberg: So that will be -- even though at quarter end that the ending amount is less than the 10.9 million. So you'll also see -- you'll see a reduction, again, in Q2 as well. 
Unknown Attendee: Okay. That's good. Can you just maybe refresh me as to, or the investors as well, what price that you were -- the company was going to potentially buy back shares up to a maximum amount? 
Frederick Vandenberg: We -- in the normal course issuer bid, we -- which is what we're under, you can purchase up to a maximum of 5% of the outstanding shares of the company within a fiscal year. So that's -- we're getting close to that. 
Unknown Attendee: Okay. Okay. In the paragraph just above the repurchase program, when you're discussing the investments in the product development and the business development resource, the last sentence said that the new investments are expected to increase enhancements in our market acquisition in the short term. Short term, are you talking like 1 or 2 quarters? Or... 
Frederick Vandenberg: Well, it does take time to -- it depends on the market you're talking about. It does take a little time to switch over a market where there's an entrenched competitor. I believe we will begin to add a market -- at least one market over the next -- within this quarter. And I -- we have a lot of really encouraging signs. I tried to communicate that by my -- even my own interactions with our customers and seeing their faces light up. But I think we'll have some success. We've really improved the product and made it just slicker and faster and updated it. And I -- when we start to add even more features over the next year, we will -- I think we'll improve our odds for the new market acquisitions. We are -- we've invested a lot of time into Canada, for example. We're investing a lot of time into the Latin genre of music. We are -- we've got a lot of irons in the fire, and I think you'll start to see some movement into -- like real growth into new markets, and I expect to start to see that. I'm -- it'll be interesting to see how quickly that turns into revenue, but I think it'll -- you'll see it over the next couple of quarters. 
Unknown Attendee: Okay. And then I take it the expenses associated with that, that represents the $1 million -- almost $1 million reduction in the cash and cash equivalents, from $2.5 million to $1.5 million? 
Frederick Vandenberg: The -- say that again. That's mostly is -- the primary difference there is the movements of what is called cash and cash equivalents into short-term investments. We still maintained about $2.6 million -- sorry, $2.6 million, $2.7 million in cash. We just don't call them cash because of various accounting rules, we call them short-term investment. 
Unknown Attendee: Okay. Yes. And I can see that increased substantially as well. Okay. Last question, so I can save your voice. Just given the revenue that comes in, are you like -- is there an approximation as to how much of that is driven in Canada at all? Or no? 
Frederick Vandenberg: Of our current revenue? 
Unknown Attendee: Correct. 
Frederick Vandenberg: It's immaterial right now. It's -- we don't -- we show in the financial statements our segmented reporting. And I can actually tell you a little bit. It's -- but it's not -- it's roughly $15,000 in Canada for the quarter. 
Unknown Attendee: Okay. Yes... 
Frederick Vandenberg: I will caveat that a little bit. When we segment our revenue, it's by the location of the customer rather than the location of the distribution. So even if I'm talking about Canadian revenue there. It could be a Canadian customer distributing to a U.S. or a Scandinavian or Australian destination. I don't have that information off the top. But I think in Canada, I mean, I was in Toronto, and I really did see our customer reaction. And I think what's hard to -- that kind of interaction is hard to communicate until it turns into revenue. But I think you will start to see that the investments that we are making that we are making a really truly good product. It was always strong in its functionality, less strong in its user experience. Like, for example, we released the updated platform in 2008 -- 2018, and that was to get access to Mac users. It was a web-based version. Those are things that are -- that facilitate the user experience. Even though the functionality was always there, it's -- now we're just making it slicker and faster and nicer to look at frankly, and that really does make a difference. And I think you'll start to see that turn into -- turning over new markets, and that's our first protocol. We really want to establish -- or expand rather where Play MPE is, expand it globally. And then from that, it's the foundation of -- from that, we can add functionality, and we'll do those things concurrently. They go together quite well. But really, if we prioritize, it's expanding the user base. So eventually, when we want to -- sorry, I shouldn't say eventually, it's -- we are adding new services as we speak. But as they come online, our potential customer base is that much larger as well, and that's really what we're working towards. 
Operator: [Operator Instructions] And at this time, Mr. Vandenberg, it appears we have no other questions. So I would like to turn the call back over to you, sir. 
Frederick Vandenberg: Okay. Thanks, everybody. Again, I apologize for my voice, it's cracking a little bit. But I hope this was useful. There's lots of really good things, and I think you'll see that we're working on, and I think you'll see a greater cadence in product announcements over the next little while and also biz dev accomplishments. So hopefully, I'll be in touch regularly over the next little while. And thanks very much for your attention. 
Operator: Thank you, sir. Ladies and gentlemen, this does indeed conclude your conference call for today. Once again, thank you for attending. And at this time, we do ask that you please disconnect your lines. Enjoy the rest of your day.